Operator: Good day, ladies and gentlemen. Welcome to the Fourth Quarter 2025 Illumina Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, we will conduct a question and answer session. Please be advised that today's conference is being recorded. I would now like to hand the call over to Head of Investor Relations, Conor McNamara.
Conor McNamara: Hello, everyone, and welcome to Illumina's Fourth Quarter 2025 Earnings Call. Today, we will review our financial results released after the market close, and provide prepared remarks before opening the line for Q&A. Our earnings release is available in the Investors Relations section of illumina.com. Joining us on today's call are Jacob Thaysen, Chief Executive Officer, and Ankur Dhingra, Chief Financial Officer. Jacob will start with an update on Illumina's business, followed by Ankur's review of the company's financials. We will be discussing certain non-GAAP financial measures on today's call, and a reconciliation to GAAP can be found in today's release and in the supplementary data available on our website. Please note that unless otherwise stated, or when referring to end markets, all year-over-year revenue growth rates discussed in our prepared remarks are presented on a constant currency basis, excluding the impact of foreign exchange fluctuations. In addition, all references to China refer to our Greater China region, which also includes Taiwan and Hong Kong. This call is being recorded, and the replay will be available in the Investor section of our website. It is our intent that all forward-looking statements made during today's call will be protected under the Private Securities Litigation Reform Act of 1995. To better understand the risks and uncertainties that could cause actual results to differ, we refer you to the documents that Illumina files with the SEC, including our most recent forms 10-Q and 10-K. With that, I will now turn the call over to Jacob. Thank you, Conor.
Jacob Thaysen: And good afternoon, everyone. I'm pleased to announce that our Q4 results exceeded expectations capped off with 20% growth in our clinical consumables revenue ex-China, reflecting execution across the organization as we closed out 2025. We made tremendous progress throughout the year, and the momentum we have built going into 2026 gives me high confidence that the strategy we put in place in 2024 to return to long-term growth is working. Highlights of our 2025 achievements include, we return to growth in 2025, with ex-China revenue growth of 2% for the year and 7% in Q4. An acceleration in clinical consumables revenue growth throughout the year with mid-teens growth in the second half and Q4 growth of 20% ex-China. We achieved our high throughput transition milestones we set out to achieve. We advanced our portfolio beyond core sequencing into multiomics and data software and AI, and we expanded non-GAAP operating margins by 180 basis points and grew non-GAAP EPS by 16% year over year. We generated strong free cash flow and returned approximately $740 million to our shareholders through share repurchases. All of this was achieved in a rapidly evolving market, and our team members stayed ahead of many of the dynamic developments we saw throughout the year. Our success in 2025 is a testament to the strength of the Illumina team, and I want to recognize their ongoing commitment to our customers through innovation and execution. Now, I want to expand on our success we are seeing in our clinical business where revenue growth accelerated throughout 2025. The strength we are seeing in clinical consumables, including 20% ex-China growth in Q4, is being driven primarily by two factors. First, adoption of sequencing-based diagnostic tests is increasing. As customers launch new assays, and expand reimbursement coverage in areas like minimal residual disease, and early cancer detection testing. Second, we are seeing broader demand for comprehensive genomic profiling and whole genome approaches in oncology and genetic diseases, both of which require greater sequencing intensity and benefit from the power and consistency of the NovaSeq X. As customers scale more data-intensive applications on a more powerful platform, the elasticity dynamics we've discussed in previous quarters continue to take hold. This is driving strong instrument sales. Q4 represented the second highest quarter placement since launching the NovaSeq X in 2023, while also accelerating consumables demand supporting durable growth in our core sequencing business. Next-generation sequencing remains vastly underutilized, and we are positioning our business to capitalize on growth as the market evolves. One example of this is the recent addition of Dr. Eric Green as our Chief Medical Officer. Eric brings extensive experience in genomics and healthcare policy, most recently serving as director of the National Human Genome Research Institute at the NIH. His leadership in the field will be a catalyst for driving continued adoption of genomics and multiomics toward standard of care for patients. I now want to talk about how our long-term strategy is working. In 2024, we set out three strategic growth pillars: core sequencing, scaling multiomics, and expanding our service data and software capabilities. Our continued execution on each of these pillars drove strong 2025 results, positioning the business for 2026 and beyond. Let me walk through examples of our progress for each of these strategic pillars. Our first pillar is core sequencing, anchored by the NovaSeq X. As mentioned earlier, clinical remains our primary growth driver, and higher testing volumes with more sequencing-intensive applications reinforce demand for high throughput, high-quality sequencing on the NovaSeq X. In research, conditions continue to be measured. Customers remain cautious with their purchasing decisions, though we are seeing signs of stabilization, including greater clarity around US policy and the funding environment. Longer term, we believe our research business can return to healthy growth, but for now, we assume similar end market dynamics in '26 as we saw in 2025. Our second pillar is scaling into Multiomics, where we're building a comprehensive set of integrated solutions that extend the Illumina sequencing ecosystem. This includes both internally developed capabilities and selective acquisitions where we see technologies that can meaningfully expand our long-term growth opportunity. As an example, we recently completed the acquisition of Somalogic, an important milestone that builds on our long-standing partnership. I want to formally welcome the Somalogic team to Illumina. We're excited about what we will build together as we further integrate our combined capabilities. Somalogic's Aptima-based affinity proteomics platform allows researchers to generate significant insight with high sensitivity, high throughput, and with thousands of protein markers in a single experiment. Our combined proteomics offerings will provide deep insights into protein function, interactions, and modifications at scale, helping to accelerate understanding of complex biology and human health. Proteomics is the frontline in multiomics, and with Somalogic now part of Illumina, our position in this key growth market is significantly stronger. By applying the scale of NGS to proteomics, we can accelerate innovation by reducing the time and cost of protein analysis. Across genomics, proteomics, single-cell, and epigenomics, these capabilities are now being brought together through our recently launched Illumina Connected Multiomics. This software addresses a long-standing challenge in the field: integrating and interpreting data across different data types by simplifying multiomics analysis and making workflows more scalable and easier for customers to use. Looking ahead, we remain on track to introduce our spatial transcriptomics solution in 2026 along with our Constellation MAP Read technology over the same time frame. Together, these advances extend our ability to deliver integrated end-to-end workflows that support customers as multiomics moves further into both research and clinical settings. Our third strategic pillar is expanding our services, data, and software capabilities. In the fourth quarter, we launched BioInsight, an important step to expand how Illumina supports discovery and drug development through data, software, and AI. For the first time, four key enabling capabilities are converging: sequencing at scale, tools to perturb biology using CRISPR at genome-wide levels, dedicated compute power to analyze it, and AI to build predictive biological models. BioInsight brings together our leading capabilities in these four areas to fundamentally change drug discovery. Instead of relying on years of iterative wet lab experiments, pharma and biotech companies can increasingly build, test, and refine biological models digitally, accelerating timelines and improving success rates. Last month, we introduced BioInsight's first data product, the Billion Cell Atlas, which will be the most comprehensive map of human biology for drug discovery. Built using single-cell approaches, CRISPR-based perturbation, and AI, the Atlas helps partners better understand disease mechanisms and improve target validations. This Billion Cell Atlas was met with strong interest from biopharma partners, and we announced initial collaborations with AstraZeneca, Merck, and Eli Lilly. We continue to see growing engagement from additional partners as data-driven approaches gain traction in drug discovery. Taken together, BioInsight expands how customers generate and act on biological insight and strengthens Illumina's position in biopharma, a growing segment of our research end markets. The next opportunity for our customers to see how our strategy and innovation come together will be later this month at AGBT. As this year's gold sponsor, we will be joined by customers and key opinion leaders who will share how our new platform enhancements and genomic and multiomics assays are being applied in real-world research and clinical settings. A key theme we will showcase is the value of our complete end-to-end solutions for our customers. The conversations we are having with customers have shifted from cost per gigabase to the total cost of workflow, from sample preparation through analysis and interpretation, where integrated workflows and data quality matter most. This approach, continuing to innovate as the market evolves, gives customers confidence in the long-term durable value of our flagship sequencing instruments while supporting them where the field is headed, including deeper adoption of genomic and multiomics approaches. Now let's turn to our 2026 outlook. Building on the momentum we saw in 2025, we expect organic revenue growth of 2% to 4% in 2026, excluding China, with overall demand similar to what we saw in 2025. Clinical consumables grew approximately 16% ex-China in the second half of the year, and we expect robust growth to continue into 2026. Our outlook assumes double-digit to mid-teens clinical growth in 2026. We expect no fundamental change in the academic end markets in 2026, resulting in mid to high single-digit revenue declines in our research and applied consumables revenue. Instruments are expected to be roughly flat to slightly down, resulting in a total company revenue of $4.5 to $4.6 billion, representing reported growth of 4% to 6%. Operating margins are expected to be 23.3% to 23.5% in 2026, up approximately 130 basis points excluding the acquisition impact. EPS guidance is $5.00 to $5.20, including $0.18 of dilution from the Somalogic acquisition. Excluding dilution, this represents year-over-year growth of 10%. Before turning it over to Ankur for more details on our Q4 results and 2026 guidance, I just want to say that I'm confident that our long-term strategy is working, reinforced by the progress we made in 2025 and where Illumina stands today. Over the past year, we have advanced the strategy we laid out in 2024 and delivered meaningful progress across the business, entering 2026 with very encouraging momentum. We proved resilience, and we are a stronger company today, and we remain on track toward achieving our long-term financial targets for 2027. I want to thank our employees for their commitment and performance this past year. I'm very proud of the Illumina team for staying focused through a dynamic year and delivering for our customers and the patients they serve. With that, I'll turn it over to Ankur to walk through the financial details before we move to Q&A. Thank you, Jacob. And good afternoon, everyone.
Ankur Dhingra: I will give you an overview of our fourth quarter financial results, provide more color on revenue, expenses, earnings, and updates on our balance sheet and capital deployment, and then discuss our outlook going forward. Before I get into the details of the financial performance, let me provide a high-level view of how the fourth quarter played out. During the fourth quarter, Illumina's revenue of $1.16 billion came in above our expectations, driven by strength in our clinical consumables revenue, better-than-expected NovaSeq X placements, and outperformance in China. We also saw a small benefit from some year-end budget purchasing. The higher revenue resulted in margins and EPS both coming in ahead of our guidance while also reflecting the benefits of the cost actions we took earlier in the year. Now let me provide you the details. During the fourth quarter, Illumina's revenue of $1.16 billion was up 5% year over year on a reported basis and 4% on a constant currency basis. Greater China revenue of $55 million was ahead of expectations and represented a $25 million decline from 2024. Excluding Greater China, Illumina revenue was up 7% year over year. Sequencing consumables revenue of $755 million was up 8% year over year and up 11% excluding China. High throughput volume growth drove the strength in consumables as customers across research and clinical ramped utilization of their NovaSeq X instruments. More broadly, the clinical market maintained its momentum, growing 20% outside of China, driven by broader adoption of NGS-based testing and customers converting current assays to ones that require significantly more sequencing data, such as transitions from whole exome to whole genome sequencing in oncology and genetic disease. Consumable sales in research and applied markets were roughly flat year over year in the quarter, a notable improvement versus Q3, but still below historical levels due to continued uncertainty in the funding environment. Roughly 80% of the volumes and year-over-year pricing dynamics related to conversion to the X. As of Q4, 55% of the revenue has transitioned to the NovaSeq X. The research transition is nearing its end, as now roughly 90% of the high throughput sequencing volumes for these customers have transitioned to 2026. Clinical volume is now more than two-thirds converted to the X, and we believe pricing dynamics going forward will be tied more to new applications like whole genome sequencing adoption, which drives higher volumes. Given these two dynamics, near-complete conversion within research, clinical volume growth driven by X, we expect the conversion to be substantially complete by 2026. On sequencing activity, total sequencing GB output on our connected high and mid throughput instruments grew at a rate of more than 30% year over year, driven by robust strength in clinical, but more muted growth among our research customers. Sequencing instruments revenue of $154 million was approximately flat year over year in Q4 and up 3% ex-China, driven by strong placements of NovaSeq X and the 100. Similar to our consumable mix, over 60% of X systems placed in Q4 were to clinical customers. In Greater China, our instruments business was down 55% due to export restrictions. Globally, we placed over 100 NovaSeq Xs, including about five on rental or lease contracts, bringing our total active installed base to 890 instruments. Sequencing service and other revenue of $157 million was up approximately 3% year over year and up 4% ex-China. Strategic partnerships and the timing of data deals have been lumpy in 2025, and we were pleased to see a return to growth in Q4. Moving to the rest of the P&L, non-GAAP gross margin of 67% for the fourth quarter was down 40 basis points year over year, primarily from the tariff impact of 205 basis points. Excluding tariffs, gross margins improved by 165 basis points sequentially. Q4 margins reflect the typical instruments non-GAAP operating expenses heavy quarter in Q4. Operating expenses were $502 million, down 5% or $24 million year over year, reflecting the results of the multiyear cost reduction programs and prioritization of key growth investments. Non-GAAP operating margin was 23.7% in Q4, expanding 400 basis points year over year. Operating profit grew approximately 26% year over year, reflecting increased operating leverage from the improved cost structure. Looking at our results below the line, non-GAAP other expense, which is largely comprised of net interest expense, was $16 million, and the non-GAAP tax rate was 19.5%. We continue to assess long-term tax structure optimization to balance US R&D benefits with efficient credit utilization across jurisdictions. Our average diluted shares were approximately 154 million, 6 million lower than '24, reflecting share repurchases throughout the year. Altogether, non-GAAP EPS of $1.35 per diluted share grew approximately 42% year over year and came in above our guidance range and was higher than our initial estimate disclosed in January. Moving to cash flow, balance sheet, and capital allocation items for the quarter. Cash flow provided by operations was $321 million for the quarter and $1.1 billion for the year. Capital expenditures were $54 million, and free cash flow for the year was $267 million for Q4. CapEx was $148 million, and free cash flow was $931 million. In Q4, we repurchased 337,000 shares of Illumina stock, approximately $42 million at an average price of $124.12 per share. At quarter end, we had $643 million remaining on our share repurchase authorization, and we intend to continue to repurchase shares opportunistically. Subsequent to the end of Q4, we closed the acquisition of Somalogic on January 30, for an upfront payment of $350 million plus potential royalties and milestone payments subject to customary adjustments. We funded the upfront payment with cash on hand. We ended the quarter with approximately $1.63 billion in cash, cash equivalents, and short-term investments, and gross leverage of approximately 1.6 times gross debt to last twelve months EBITDA. So recapping the full year 2025, starting with revenue. We returned to growth ex-China in Q3 and grew sales about 4% in the second half of the year. I'm extremely proud of the whole Illumina team for navigating through a very dynamic year to end the year on a high note. Through disciplined execution and cost optimization, we were able to expand margins nearly 200 basis points in 2025 despite approximately 200 basis points in macro-related headwinds. And finally, grew EPS by 16%, and our 2025 EPS of $4.84 came in above the original guidance we gave at the start of the year. The way we closed out 2025 gives me confidence about the progress we are making towards our long-range targets, and I'm excited about our momentum going into 2026. Now moving to guidance for the year 2026. Starting with revenue, we're expecting revenue of $4.5 billion to $4.6 billion, representing ex-China organic growth of 2% to 4%. Organic growth excludes the impact of currency, which is expected to add roughly one point to our reported growth, and revenue associated with the Somalogic acquisition, which is expected to add 1.5 to two points of revenue growth in 2026. China sales are expected to be a one-point headwind to total company revenue growth. On a reported basis, overall revenue is expected to be up 4% to 6%. For the rest of the world, organic sequencing revenue growth, we're expecting low to mid-single-digit growth in consumables, with clinical growing double-digit to mid-teens driven by continued strong volumes from our clinical customers. We're excited about the significant progress our customers are making with growth in their on-market tests and new sequencing-intensive whole genome approaches. We expect research declining mid to high single digits. Recent NIH budget announcements are a welcome development, and as fund flow resumes, could provide a more favorable environment relative to what we are assuming in guidance. Instrument sales are expected to be down low single digits to flat year over year, and we believe our goal of placing 50 to 60 NovaSeq X instruments per quarter on average will continue through 2026. Our pull-through assumptions by platform can be found in our earnings presentation. In China, we expect sales of $210 to $220 million with little or no step-up in instrument sales in the first half of the year. We will revisit our assumptions as we work with the government about our ability to import instruments into the country. Moving to operating margins, excluding Somalogic, we are guiding for operating margins to expand 130 basis points next year, at midpoint. Somalogic is expected to have a 100 basis point impact on margins. All in for 2026, we are expecting operating margins of between 23.3% and 23.5%. We've made significant progress in improving Illumina operating margins and remain focused on achieving our 2027 targets. Now moving to EPS. Excluding Somalogic, we're projecting EPS to grow 10% at the midpoint. Somalogic is expected to be dilutive by $0.18 at midpoint. Hence, total Illumina 2026 EPS guidance is in the range of $5.00 to $5.20. For Q1 2026, we're expecting rest of world organic revenue growth of 1% to 3%, equating to between $1.06 and $1.08 billion. We're expecting Q1 EPS of $1.02 to $1.07, including $0.04 of dilution. Rest of the details of our Q1 and 2026 guidance can be found in our earnings presentation. One housekeeping item: Starting in January 2026, we changed the geographical reporting segments to better align with the respective commercial organization structure. Beginning in Q1, we will report our new geographical segments and will provide historical financial reconciliation for the new structure. In closing, I want to once again express my sincere appreciation to the Illumina team for their continued focus and disciplined execution throughout the quarter. We enter 2026 with a lot of momentum, and I'm extremely encouraged by the progress we've made in returning Illumina to long-term sustainable revenue and earnings growth. Thank you for joining our call today. I will now invite the operator to open the line for Q&A.
Operator: Hi. If you would like to ask a question, please click on the raise hand button, which can be found on the black bar at the bottom of your screen. To give as many analysts as possible the opportunity to ask a question, please limit yourself to one question. If you have additional questions, please raise your hand again to be put back into the queue. We will now pause a moment to assemble the queue. Thank you. Our first question will come from Doug Schenkel with Wolfe Research. Your line is now open. Please go ahead.
Doug Schenkel: Hey. Good afternoon, guys. And I'm just going to ask a couple of financial questions, and then I'll get back in the queue. First, on operating margin. Does guidance embed an assumption that you essentially end the year at 26% to 27% operating margin? And building off of that, is there any change to your 2027 margin target factoring in Somalogic? And then the second topic is really on capital deployment. The balance sheet is really clean at this point. You're generating about a billion dollars of free cash flow. Clearly, the business has stabilized. How are you thinking about capital deployment? And specifically, what is your M&A criteria and priorities? Thank you.
Jacob Thaysen: Thanks, Doug. And let me start by addressing your first question, which I believe is around our long-term targets. And we feel definitely still great about those targets. Just as a step back, in '24, we were out there presenting that we would bring the business back to high single-digit growth by '27 and also delivering 500 basis points as you bring us to 26% operating margin. We feel really good about what we have done the last year. We have stepped ourselves into growth, and we believe we are in the right direction to deliver on the high single-digit growth in '27 in our core business. We also are seeing that we have moved substantially on our operating margins with 200 basis points last year in really a tough environment where we had approximately 200 basis point headwinds from tariffs and other things. And now we are committing to another 130 basis points. So we are well on that trajectory. Obviously, now with the acquisition of Somalogic, it will be, as we mentioned also, it's dilutive as a starting point. We are working through the opportunities for synergies, and we will get as close to the 26% operating margin as possible in '27 also. But more, we will keep you updated on the way. We are doing everything we can.
Ankur Dhingra: So this is Ankur. So, Doug, your premise that next year, excluding Somalogic, that the exit rate operating margin for 2026 is higher than the average is that's usually our cyclicality in the business. So our full-year guide is 24.5%, and the exit rate in Q4 generally tends to be higher than that.
Operator: Your next question will come from Vijay Kumar with Evercore ISI.
Vijay Kumar: Hey, guys. Thanks for taking my question, and congrats on a nice sprint here. Maybe one on guidance here. Jacob, or Ankur for you guys. The organic for Q4, when you look at clinical performance, ex-China 6.5%, overall company 3.5%. Your guidance, you know, ex-China basis for fiscal '26, you're looking at 3%. And what drives that step down from 6.5% exit rate in Q4? You know, when you Q4, clearly, clinical was standard. Was there anything one-off about Q4? Any pull forward of revenues, etc., that perhaps calls for some moderation in '26 outlook? Thank you.
Jacob Thaysen: Hey, Vijay. So thank you. First and foremost, we are super excited about how we ended out the year. Clearly, 2025 was a challenging year. So the momentum we started to build up here in the second half is really encouraging. And we truly believe that momentum is continuing into '26. As you could see, we ended out the year with very strong performance on clinical with 20% clinical consumables growth in Q4 in '25 here. And we expect that momentum overall from the second half to continue. So we believe that what we're building in is that we have high mid-teens growth for our clinical business. But we also continue to see the channeling in the research academic environment. It is definitely a good step forward that we are now seeing a line of sight to the NIH budget. But if you dig a little bit deeper, there's still a lot of uncertainties for the institute for how grants are being distributed and who's actually getting these grants. So that's what we see. There's still a muted environment, and I think during the year we will hopefully see that come out better, which could continue performance or improve our performance. But we're not seeing any substantial step down. We know Q4 is always a strong quarter, and therefore, we feel good about how we're guiding at this point.
Ankur Dhingra: Vijay, let me just frame the 2% to 4% China when we approach the guidance. As Jacob said, we're not seeing any change in the momentum, especially in the clinical business. Our customers continue to do very well, both from the adoption of the on-market test as well as working on bringing new tests to the market. The way we have approached the guidance is to look at the half of 2025 as we played out during our Q3 earnings call. Within Q3, our growth was 2% ex-China. In Q4, it's ramped up to 7%. And so we took the average for the second half to bracket our overall guidance. The 2025 is what we're using as the low end. Right, where clinical still grew in the double-digit rate. The research was dying down in the high single-digit rate. As kind of a framework towards the low end. And then if research does improve, that certainly provides an upside. Q4 just one quarter didn't feel like using as a base for a full-year guide per se. But momentum's momentum's.
Operator: Your next question will come from Puneet Souda with Leerink Partners.
Puneet Souda: Yeah. Hi, guys. Thanks for the question. On the instrumentation, can you provide how the split was with research versus clinical? I appreciate the momentum you're seeing on the clinical side, but on the research side, can you provide a little bit of context and, you know, how are you thinking about the overall competition just beyond the academic pressure that we have seen in the market? How much of that is baked in just on the research side, both on the mid throughput end and the high throughput end?
Jacob Thaysen: Yeah, Puneet. Thank you. And we're very pleased with the performance we had in Q4 with more than 100 instruments placed on the X instruments. And as expected, more than 60% of those placements were related to clinical. And we expect that to be the case, that the dynamic to continue into '26 where clinical will be the majority of the placements of instruments. So we continue to see that customers building their assays on the X instruments, and we are not seeing any slowdown in that part of the business. As you mentioned also, we have a mid throughput business. That has been more, as we talked about before, had been more challenged by some of the macro trends where some of our customers may be more conservative in how they have spent their funding over the past years also in the research and academic market. So I think that market is still a little more muted than but not really a change from what we have seen in '25. So that's how we think about the business right now.
Ankur Dhingra: From a competitive perspective, Puneet, no. We didn't see much in Q4. As Jacob said, very strong instrument placements quarter overall across clinical and research as well. We're getting very good interest in the new launches. We've launched the five base. Our spatial is in early access. And the demand and the interest on the research side looks very good. Our thinking on the research from 2026 perspective is more based on the funding environment and the evolution of the funding environment per se.
Operator: Your next question will come from Tycho Peterson with Jefferies.
Tycho Peterson: Hey. Thanks, guys. A couple quick ones. Just on clinical, Jacob, you know, you talked about growing use of whole genome, whole exome. Can you just talk on, you know, delineate how much of the growth is, you know, mixed versus maybe volume? So that's kind of the first question. Second is on Onso. Just curious if you can touch on that. And you know, thought process, how quickly could you incorporate that technology, if you're planning to? And then, maybe just lastly on adjacencies, a little bit more color on, you know, what you're baking in for spatial constellation and five base.
Jacob Thaysen: Okay. So no. Thanks for that, Tycho. And if you look at the opportunity with the X and what our customers are using it for, clearly, we continue to see a you can see, many of our clinical customers are, of course, seeing a significant uptake in volume. Many more physicians are starting to use genetic profiling for the cancers, but also for monitoring disease. So that is a strong momentum. But we're also seeing that our customers are choosing to make larger and larger panels. As you mentioned, some of them are going from exome to whole genome. That's more in the genetic space. But we're also seeing that customers are building larger panels for therapy selection. And the next thing here is to expand the panels for MRD. So we see all that. We're not spreading it down into the pieces at this point in time, but I would say over time, I think, actually, the intensity meaning the larger panels, is going to be the main growth driver going forward. We see a lot of opportunities there. For the acquisition of the IP from PacBio, we saw that as a great opportunity to strengthen our portfolio. We're very bullish about our SPS technology, so we believe there's a lot of options in that still. But we felt it was a great way to keep optionality. And then I think the last one you had was on how much we built in for the five base. And for Constellation and others. This is still early days. We have seen a very, very strong interest for the products we brought to market already. I don't think it's going to be meaningful here really in '26, but it will start to be meaningful as we talked about before in '27 and beyond where we believe one or two basis of growth one or two percent growth will come from our new assays in multiomics, both multiomics and our data the BioInsight business.
Operator: Your next question will come from Michael Ryskin with BofA.
Michael Ryskin: Great. Thanks for taking the question, guys. I want to dive into some of the pieces of the 2020 in terms of the sequencing consumables, sequencing instruments. You know, a little bit surprised that you got them as close. I would have thought that sequencing and consumers would've been a little bit better as you're, as you said, as you're moving past some of the headwinds from the price transition. At the same time, sequencing instruments, I thought it could have been a little bit worse. So if you could just dive into some of the moving pieces there, you know, are you expecting something similar in terms of NovaX placements next this next year in, in the, you know, mid to high 200s range? And just maybe talk about some of the other platforms that make that up, you know, the NextSeq, the mid throughput platforms, the NovaSeq 6K. Just we'd love to get more color on the moving pieces there. Thanks.
Jacob Thaysen: Hey, Mike. So thank you for the questions. And I would say, first and foremost, on the high throughput consumables, especially in the clinical, as we mentioned, we continue to see very strong performance in that. So we don't think that is going to change. We actually think that potential upside in that, obviously, if the market continues to be as strong as we have seen in the last part of the year. We do see, of course, in the consumables, if you blend consumables that both for the research segment but also for the mid throughput, there's still some headwinds in that space. So that's why you see the blend is where it is. I would put it this way. If you think about it, the low end of the guide in the consumables is probably what we saw in Q3, and then we started to see momentum. So there's probably more in the higher end of the guide that we expect us to be for. So that's how to think about it. On the instruments, I mean, we continue to see a lot of momentum in instruments. Right now, we are guiding 50 to 60 placements, but many of our clinical customers continue to expand their placements. So we continue to believe that there are strong moment opportunities here.
Ankur Dhingra: Mike, on the instrumentation side, as I mentioned in my script, for Xs, yes, about 200 to 240 for the year. Said on average, 50 to 60 a quarter is still quite good. The Q4 placements were phenomenal. We got quite a few multipack orders. We do look at several of our customers trying to expand their fleets, sometimes thinking about tens of Xs scenario. So good instrument demand. As you all know, we made a major software upgrade into X in 2025. The performance there has been running above the spec for a very large part of our customers. So X is performing at an extremely high level. For our clinical customers, and the research customers are super excited about some of these new multiomic technologies that get enabled the next. So very pleased and quite good so far.
Operator: Next question will come from Kyle Mikson with Canaccord.
Kyle Mikson: Hey, guys. Thanks for the questions. Congrats on an impressive fourth quarter. The clinical side, especially. On that note, I know you're not splitting out clinical into the applications, but could you just speak a bit just for some context, it looks like oncology was just under $1.2 billion. Then you have genetic, which was just under $500 million. So which of these will, I guess, grow faster in '26? Just help us frame the different drivers split it out just a bit more for us. Then just secondly, you spoke to some of the multiomics aspects before, maybe BioInsight. Is that a needle mover this year? Thanks.
Jacob Thaysen: Yeah. Thanks, Kyle. I think overall, we, of course, are very pleased with clinical. And from the highest level, clinical is growing from all dimensions. Both on the different type of applications, but also from the different regions and different customer types. So a really broad-based performance in clinical, and we expect that to continue as we've mentioned a few times here. We are still seeing that oncology is the main driver and the main growth driver. But the rare diseases are definitely also growing at a healthy speed. So I do think that over the next year, also oncology will be the main growth driver for us and for our customers.
Operator: Your next question will come from Dan Arias with Stifel.
Dan Arias: Hi, guys. Thanks for the questions here. Jacob, I wanted to ask about messaging the customers as we get ready to head down to AGBT here. You guys have talked pretty consistently about the fact that the labs really should focus on full workflow and that when you look at it that way, it becomes advantageous to use Illumina products. The question is really when and where should we look to see that in action? Will you be able to lay out for people, you know, how the economics of using Fluent plus the NovaSeq plus Dragon gives you a better outcome? Or do people just sort of have to figure that out for themselves? Because if the idea seems logical, but I don't get the sense that customers can see it or that they can do the math that has them arriving at that conclusion. Is that something that we should expect to change here?
Jacob Thaysen: Yeah, Dan. I think, actually, this is the conversation we have with our customers. We are looking forward here also to the AGBT conference coming up in a few weeks where, as I mentioned also in prepared remarks, we have the gold sponsorship, which gives us a great platform to speak to, not only us, but also key opinion leaders to speak to the usage of the different technologies and how to think about them from the highest quality insight with the lowest end-to-end. Obviously, a part of that is to also show that you can actually do this in a more cost-efficient way, but also creating the highest insight. So it depends a little bit on the different assays. If you think about our Constellation MAP Reads where you have really no hands-on on the workflow upfront and you receive a lot of insights with very little workflow, you know, hands-on on the workflow. So I think that is an element where you can start to eliminate the cost of library prep out and also getting much more insight out. So it's a good example of how you can think about that where you will actually have great transparency on the pricing from our end because it's really just the cost of sequencing where others have to also do library prep and other things. So that's one example, and we'll talk more about that at AGBT. But the same goes now with the Somalogic business we have just acquired where we will go out there and present the cost per sample, the cost per experiment, which I think will be another one that is going to be very important. So those conversations are already happening with the customers. We will continue to educate all of you on that also.
Operator: Next question will come from Jack Meehan with Nephron.
Jack Meehan: Thank you. Good afternoon, guys. Hey, Jack. Wanted to build on Dan's question there. Just continue on the path of AGBT. It seems like on the competitive front, you know, at least one competitor's talked about the $100 price point per genome. Understand you're trying to change the conversation around that, but I was just curious like, you know, investors see headlines like that what does that mean for you? I'm not sure how we know your list pricing, but you're you know, there's discounts to that. Like, you know, can you just talk about what that would mean for Illumina if we start to see those headlines?
Jacob Thaysen: Yeah. I think we are we're looking forward to AGBT. I think that it will be the conference, of course, that all our competitors will put their best foot forward. We will do the same. As I've mentioned, our customers are thinking way beyond just one parameter, one feature. They are more sophisticated than just looking at one element. So I think you will see also us really highlighting some of the things that our customers are really excited about from the whole workflow perspective. That said, I would say that we feel we have the portfolio. We have the pipeline. We have the capability to compete on all parameters. So I feel really good about where we are and what we can do. Obviously, if there are opportunities for us to address market segments with a different price point where there's a significant number of elasticity, we all fought, and we have those conversations with our customers on a regular basis. And we continue to do so.
Operator: Next question will come from Casey Woodring with JPMorgan.
Casey Woodring: Hi. Great. Thank you for taking my questions. So I guess you said you would revisit your China assumptions as you work with the government on. Maybe just walk us through how conversations are going there and the range of outcomes. And then, you know, my follow-up is just on BioInsight. I was hoping you could elaborate on some of the comments you made earlier there just given how much airtime AI is getting currently. You know, curious how you plan to monetize these capabilities over time. The level of enthusiasm you're seeing from pharma customers, and any sort of way to quantify the revenue opportunity over the next few years? Thank you.
Jacob Thaysen: Yeah. Thanks, Casey. So for the first for the first thanks for the questions on China here. So we as just a reminder, it's still less than 5% of our business. I'm actually very pleased with what Jenny and the team have been able to do, our general manager in China. And the Chinese team have been able to serve our customers over the past year and continue to do so. As we have also updated all of you on over the last period of time, we have had great conversations and collaboration with the Chinese regulators to ensure that we can continue to run our business in China. But we're still on the UAL. We feel good about our relationship and how we can work through to be able to import or export the instruments back into China. Now, of course, when you for a long period of time, have not sold an instrument, it takes time to build up a funnel again, and I think that's more the reflection of what we are seeing right now. But as Ankur mentioned also, we have a target for China, but I think if there's a way to get off the list or improvements in that, I think there's upside to the China business. But we do believe that we have good line of sight at least to '26 at this point. If you think about the BioInsight business, we are very excited about the opportunity. It's still in the early days. But as we came out presenting the Billion Cell Atlas last year at JPMorgan, and it was very well received. As I mentioned also, there has been a lot of conversation with pharma companies that want to get access to the Cell Atlas. It provides deep insight for the drug discovery for them to choose the right targets to work on. So we clearly see momentum in that space. As we mentioned also earlier, we do believe that this will, together with our multiomics business, start to create at least a 1% to 2% growth in '27. But if you think that that relaxes be an accelerating momentum at this point. Ankur, maybe you have more to share?
Ankur Dhingra: Yeah. On BioInsight, a couple more things as Jacob was saying. We do think our intention on BioInsight is to work directly with our pharma customers and effectively adding a third customer base here. And we think we take a five-year view. That's a very meaningful opportunity. The Billion Cell Atlas has been received very well, and the interest since the conference has been tremendous. So we're very pleased with some of the early steps that we've taken here. Monetization strategy here would be in two or three different ways. One is around very specialized data and AI tool constructions. And then over time, we see significant subscription-based models where we can help pharma companies both on the discovery as well as on the development side of things. But that's a multiyear opportunity there.
Operator: Your next question will come from Dave Westenberg with Piper Sandler.
Dave Westenberg: My bad. So you can hear me now. Right? Alright. Perfect. Yes. Perfect. Alright. Can you discuss the conversations you're having with Academic Core Labs in terms of investments in instruments? I have to imagine you were they weren't the biggest buyers of instruments in 2025. What is the assumption in your guidance for academic both consumables and instruments? And you did hire Eric Green. So is there anything he can do to spur kind of confidence in your academics? I know the NIH is slightly up. Are they gonna actually believe it? And sorry. They're gonna tag one more on to Jack and Dan's question on pricing versus competitors. You are seeing much better specs, I believe, which means more output. That is a direct cost reduction to a lot of your customers in terms of cost per gigabase. Right? So even if they're getting 25 gigabases at $200, they're actually getting less than that because the output has been greater. It might just wanna ask if that assumption is correct. Thank you.
Jacob Thaysen: So, Dave, thank you for your one question. Let me start with the first one here. We have, I think, the last eighteen months, really built out our relationship with the academic core labs and really focusing on ensuring that we can support them also, of course, in a very tough environment. So, obviously, though they have been challenged with, of course, the impact from NIH funding and other types of funding. But we have done a very good job, I think, and that's also the feedback we're getting from them to support both from when they have opportunities to acquire instruments. We have made sure that we can place Xs in those types of labs also so they can get all the benefit from the Xs. And I do think now with Dr. Eric Green on board here, there's more opportunities to help them and navigate all through a challenging situation. As we said, and you also mentioned, you know, at least now we have better line of sight to NIH funding, but there's still some in the details still things that need to get into place before we really start to see the different institutes, different core labs continue to move ahead. You are right that if you look at we have, and this is our we have a tradition for going out and delivering on power better than our specs. This is something we're proud of, and something that our customers know from Illumina is that we're not chewing on and commit to something we can't keep. We will actually keep it and also outperform. And I think that is something that many could learn from. So we will continue to do so. And in the meantime, customers are enjoying those benefits.
Operator: Your next question will come from Subhalaxmi Nambi with Guggenheim.
Subhalaxmi Nambi: Hey, guys. Thank you for taking my question. It appears that 6,000 pull-through is holding up a lot better than expected. Has that leveled off moving forward, or is that still a material headwind? And then my separate question is, there has been a lot of focus on US clinical strength for good reasons. But can you speak to how Europe and Asia might look this year from a growth perspective? And are there any differences you would expect from the US market throughout this year? Thank you so much.
Jacob Thaysen: Yeah. So, Subbu, let me start on the 6Ks. And what you are seeing is that we've spoken to that before that many of our customers that are transitioning are either building their new assays on the X platform, and then they keep the NovaSeq 6K for their traditional assays that are already built, they have already validated, and they want to keep that. So that's also what you're seeing the customers that have decided to stay with assays on the platform. Keep running those assays on that platform, and that's why we continue to see a pull-through. There's, of course, customers that have shifted away from the 6Ks, and it's now moving on to the X, and they are seeing substantial growth on the X platform. So that's why we're seeing the pull-through continue to be sitting up there. But we still believe, of course, that there will be fewer and fewer 6K customers over time.
Ankur Dhingra: Subbu, on the 6Ks, and the transition, as you know, we've substantially on the research side, the transition's substantially complete. And clinical is now moving into the latter part of the transition here. Our expectation is by the time we get to the end of 2026, the 6K transition should be mostly substantially done. From a volume perspective similar to the trends that we have been seeing. So that's how we're looking about it.
Jacob Thaysen: Geography. Yeah. I mean, Europe has done tremendously well. I think, holding up very nice growth over the past years, and we continue we expect that to continue here into 2026. And we also expect that our APAC region, MER meeting will rebound somewhat.
Operator: This concludes the Q&A section of the call. I would now like to turn the call back to Conor McNamara for closing remarks.
Conor McNamara: Thank you for joining us today. A replay of this call will be available in the Investors section of our website. This concludes our call, and we look forward to seeing you at upcoming events.
Operator: This concludes today's call. We thank you for your participation. You may disconnect at this time, and have a great day.